Operator: Good day and thank you for standing by. Welcome to the International Money Express, Inc. First Quarter 2025 Earnings Conference Call. At this time all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Alex Sadowski, Investor Relations Coordinator. Please go ahead.
Alex Sadowski: Good morning, and welcome to the Intermex first quarter 2025 earnings call. I would like to remind everyone that today's call includes forward-looking statements, and actual results may differ materially from expectations. For additional information on International Money Express, which we refer to as Intermex or the company, please see our SEC filings, including the risk factors described therein. All forward-looking statements on this call are based on assumptions and beliefs as of today. You should not rely on our forward-looking statements as predictions of future events. Please refer to Slide 2 of our presentation for a description of certain forward-looking statements. The company undertakes no obligation to update such information, except as required by applicable law. On this conference call, we will discuss certain non-GAAP financial measures. Information required by Regulation G under the Securities and Exchange Act for such non-GAAP financial measures is included in our presentation slides, earnings press release and our quarterly report on Form 10-Q, including reconciliation of certain non-GAAP financial measures to the appropriate GAAP measures. These can be obtained in the Investors section of our website at intermexonline.com. Presenting on today's call is our Chairman, Chief Executive Officer and President, Bob Lisy; and Chief Financial Officer, Andras Bende. Let me now turn the call over to Bob.
Bob Lisy: Good morning, everyone. Thanks for joining us today on our first quarter earnings review. The past quarter brought many changes to the market that were difficult to anticipate. The economic, political and immigration backdrop presented many challenges to our business model and to the U.S. to Latin America corridor in general. Regardless of this challenging environment, our results reflect the strength of our brand, the excellence of our execution and our corporate discipline that we continue to bring to our strong and healthy underlying business. The good news is the overall market for remittances to Latin America remains resilient. The downside is that for the first time in our public history, we have delivered a year-over-year volume growth while experiencing a decline in the number of transactions versus the same period last year. The principal amount per transaction increased, but money transfer fees were lower due to larger send amounts and fewer transactions. This dynamic also had an impact on our foreign exchange profit. While we believe this consumer behavior shift is not in long term, it is an important dynamic to monitor and one that has impacted our first quarter results. It appears consumers are sending larger principal amounts less often due to certain factors about which we can only speculate at this time. Total revenue came in at $144.3 million, net income at $7.8 million, adjusted EBITDA at $21.6 million. Adjusted diluted EPS was $0.35 per share. While these key metrics were all down year-over-year, total principal amount sent was up 4%. We believe this is a strong indicator of the underlying strength of our overall business and the resilience of the retail market. Transactions originating at retail remain the foundation of our business and are highly profitable and cash-generating engine. Total volumes sent in four out of our five top markets increased significantly with our Intermex brand. Less positive was the fact that four out of the five top markets saw a decrease in transactions sent. Despite that softness, we protected our margins and continue to make smart targeted investments in our retail business. We focused on the most profitable transactions and stayed disciplined with agent management and continue to optimize at a ZIP code level, prioritizing our most productive areas. We're also seeing benefits from our operational upgrades. The transaction processing time on our retail platform improved to directly enhance the agent experience. We reduced time from 20 seconds to 9 seconds on a typical transaction. We continue to build on the best-in-class system reliability as well, resulting in a total uptime of 99.995%, further supporting our position as the premium retail partner for our highly efficient agent base. We continue to excel in all areas relating to our retail offering, including our best-in-class customer service and banking options for our agent retailers. Now turning to digital. While our retail platform is the cash engine of our business today, our digital business is the glue of our omnichannel strategy and the most important part of our growth in future. We are growing that business most successfully. In Q1, our digital transactions grew just under 70% year-over-year. Aligned with the digital business strategy, we invested more in the digital marketing ever before in Q1. We will continue to do so intelligently through daily optimization and ensuring that every dollar is spent with maximum efficiency. Our customer acquisition costs and LTV projections remain intact as customer acquisition costs are better than projected and our customer retention remains strong. We plan to ramp up our total spend more in the coming quarters as we discussed at our recent Investor Day event. At the same time, engagement across our app, which we believe is the best-in-class, continues to improve. Our Amigo Paisano brand is now fully integrated and helping us further sharpen our digital acquisition strategies and our wires as a service pipeline of new partners continues to expand as expected. The infrastructure for robust growth is in place. This includes technology, licenses and payer relationships, and now it is all about scaling efficiently. We are very encouraged by the performance of our digital business and the long-term opportunity it represents. Our underlying cost performance exhibits the discipline you would expect from Intermex. With salaries and benefits up only 1%, our G&A is up. However, the biggest single driver relative to increasing G&A was our planned digital marketing spend. In February, we completed the shutdown of one of our offshore operations centers supporting La Nacional. We have begun to realize those efficiencies, and we are on track to achieve the approximate $2 million in annual savings we anticipate from those moves. Integration of La Nacional agents onto the Intermex tech platform will continue into the second half of 2025. This places us in a position to further streamline our back office and to ultimately surrender the La Nacional state licenses, further reducing costs while maintaining the look, feel and integrity of the La Nacional brand. On the balance sheet side, we remain very strong. We ended the quarter with $151.8 million in cash and generated over $10 million in free cash during the quarter. Our net leverage remains low, giving us significant flexibility to invest in growth, continuing to pursue opportunistic share repurchases and maintain our strong financial foundation. As mentioned, cash generation continues to be the hallmark of this business, and that again remains strong even with the increased investments in digital, retail sales infrastructure and a challenging macro backdrop. At Intermex, we are focused on what matters most, delivering the best possible service for our customers and doing it with operational excellence. We are a trusted brand for over 6 million customers every year, whether it's through our retail locations or by way of our growing digital channels. Our customers know that they can rely on us to move their hard-earned money quickly, securely and reliably. We have the right foundation in place, including a profitable retail engine, a fast-growing digital platform enhanced by our unique omnichannel strategy and what we believe the strongest, most well-respected brand in Latin American corridor. We are confident in our ability to continue to deliver value for our shareholders. With that, let me turn the call over to Andras to walk you through the financials in more detail.
Andras Bende: Thanks, Bob, and good morning, everyone. As Bob mentioned, we delivered a disciplined and focused quarter, navigating a unique retail environment of greater send volume but negative transaction growth while maintaining profitability and strong cash flow. Total revenue for the quarter was $144.3 million compared to $150.4 million in the same period last year. Total volume sent was up 3.7% versus 1Q last year, while total transactions sent were down just over 5%, a unique and unprecedented market. As Bob mentioned, for the moment, U.S. to Latin American consumers are sending larger transactions less frequently. For us, we believe this indicates the underlying market remains healthy and resilient. However, at least for a period of time, we will likely continue to observe some shift in send behavior that puts pressure on transaction growth. Fewer transactions result in less fee income. However, the cost to fund and cost to bank consumer transactions go up when volume grows, and that is what transpired this quarter. And while the company remains strong, profitable and ready to navigate this dynamic, the impacts on the P&L for the moment are notable. In the other part of our book, growth in digital helped offset part of the pressure on transactions in retail with digital transactions up just under 70% this quarter. We invested more in digital marketing this quarter than any past quarter for Intermex. We'll continue to scale this investment in the quarters ahead. Wire transfer and money order fees net accounted for $120.2 million and were down year-over-year in line with transactions. Foreign exchange income contributed $20.2 million and was down slightly year-over-year, however, in percentage terms, less so than fees. Larger individual send amounts helped drive FX income for the company. It's worth noting, however, that we observed sharpest increase in average send amounts in countries other than Mexico, where FX is a much heavier component to transaction unit economics. Service charges from agents and banks were $93.8 million, down from $97.9 million last year. While agency and payer commissions were down in line with transactions, bank fees were up, driven by higher volumes sent versus 1Q last year. Salaries and benefits were up only 1% from a year ago as our cost and efficiency disciplines continue to serve us well. To that end, we also incurred $0.3 million in restructuring charges in Q1, in line with our previously announced restructuring of foreign operations. Our selling, general and administrative expenses were $11 million, up year-over-year. However, as Bob mentioned, the single biggest driver there is the increase in digital marketing spend as we scale that business in line with our long-term plans for omnichannel. Provision for credit losses was $2.1 million and depreciation and amortization came in at $3.6 million. We also recorded $1.2 million in transaction-related expenses associated with the previously announced strategic alternatives review. Operating income for the quarter was $14.1 million, down from $19.6 million last year. Adjusted EBITDA totaled $21.6 million with adjusted EBITDA margins at 15%. We've mentioned before that each year, Q1 margins are softest due to seasonality. However, the dynamic of transactions down and volumes up that we previously discussed weighed additionally on Q1 margins. For Q1 volumes sent via more normalized send amounts, we estimate revenue would have been stronger by $7 million to $10 million and operating income stronger by $2 million to $3 million. Net income was $7.8 million and diluted earnings per share was $0.25. Adjusted diluted EPS was $0.35. We ended the quarter with $151.8 million in cash and cash equivalents, up from $130.5 million at year-end. Total debt was $147.4 million, down from $156.6 million at year-end. We repurchased approximately 368,000 shares during the quarter for $5 million. Our balance sheet remains strong, and our liquidity position gives us continued flexibility to support our strategic growth initiatives. We remain focused on managing costs, protecting margins and executing with discipline across both retail and digital. Based on our first quarter 2025 financial results and the underlying market dynamic we have observed to date, the company is revising its previously issued full year guidance. Current levels of uncertainty and volatility affecting market conditions and consumer behavior have increased the difficulty of reliably forecasting short-term results. Moreover, as previously announced, the company is in the process of executing on a long-term strategy of investing in its digital business offerings to increase their contribution to the company's revenue and to increase its profitability. Accordingly, the company is discontinuing for the moment issuing quarterly guidance. Full year 2025 guidance is as follows: revenue of $634.9 million to $654.2 million; diluted EPS of $1.53 to $1.65; adjusted diluted EPS of $1.86 to $2.02; and adjusted EBITDA of $103.6 million to $106.8 million. With that, I'll turn it back to Bob for closing remarks.
Bob Lisy: Thanks, Andras. To wrap it up, we delivered another quarter of disciplined execution. We protected profitability. We invested strategically in growth, and we continue to generate strong cash flow. Retail remains a critical and profitable part of our business. Digital is scaling with strong economics, and we're confident in the foundation we have built. We will stay focused, stay disciplined and keep delivering for our customers and our shareholders. Thanks again for joining us. We are now ready to take your questions.
Operator: Thank you. [Operator Instructions] And our first question comes from Chris Zhang of UBS. Your line is open.
Chris Zhang: Hi, good morning. Thanks for taking our questions. So my first question is about, I guess, some of the more near-term trends, just given the first quarter weakness and also the unique U.S. to Latin American market dynamic you're seeing. Maybe can you just help us first parse through like what's the behavior in – on the retail side versus the digital side? And then how that has been trending like in the more recent month of March and April and what you're seeing to date, that would be helpful. Thank you.
Bob Lisy: Okay. Great. Thank you for the question. So the behavior proportionately is not changing much, right? The digital side of the house for the industry and us as a company has been growing much faster than retail. So, digital this quarter grew at 70% year-over-year and it's actually so far in April through April has increased to about 80% growth. So we're growing the digital very quickly. The retail continues to be more of a struggle. We think the retail market is still really strong. And as you may have heard from our remarks, the total amount of principal amount that we sent to Latin America to our overall business was up 4% year-over-year, and our business is dominated still by the retail side. The challenge we have today and in the short run, first of all, I'm completely excited about what's going on with our business. I think to grow the digital business at 70% in a difficult market where the current administration talks about zero crossings in the border is a very great achievement for us, and we think we've only just begun there. We think that we're just starting to click in with our advertising. We think that our wires as a service is going to get bigger and better. So we have a lot of strategic partnership there that we think will build it. The difference between us and some others and maybe sometimes where we separate with some of the marketplace analysts and others is we think that retail based on the fact that it grew at 4% or the overall market for us grew at 4% dominated by retail, it's still a very healthy business with very large profitability, great margins on a unit economics perspective and very low entry point to acquire customers. And so we'll continue to drive that business. And we would expect in difficult times where the overall market is flat as it is today, and we're dominated by Mexico. 65% of our gross margin thereabouts comes from Mexico. 80% comes from Mexico and Guatemala. So when the border is tight, it's not like we have a lot of folks that are sending in a big part of our business that are South America and other places where may not be border crossings, right? So we think that as we go forward, that the retail market will be strong and will recover, but it's challenging when the overall market is flat and you see digital as an industry maybe growing 30%, it tells you that the retail market is probably growing at a minus 8% or minus 10%. So we're beating that and we're beating the digital side, and we've talked about this many times. We're just heavily weighted on retail, which is not performing well as an industry and underweight on the digital side. But we're doing a lot to change that, as you can see, with 70% growth in digital and that going to 80% growth in second quarter. And we really have just begun to advertise and drive customers to our digital site. So that's how I would delineate the two today. We expect retail to be softer over time. We think that we will get it back into positive year-over-year growth numbers, and we expect digital to continue to grow at high levels, 60%, 70%, 80% year-over-year, and continue to grow that. And once the balance starts to get better and the market gets better, you'll see us driving much more positive numbers between the two together.
Chris Zhang: All right. Thanks a lot Bob for the color. Just have a follow-up on the revised full year guidance this year. I understand we're no longer providing the quarterly guide. But for the revenue – for the full year revenue and also the EBITDA margin, you're both seeing some improvement from the Q1 level, I think in terms of revenue growth and EBITDA margin. And can you maybe give us just a directional sense of the trajectory of the revenue growth and also the margin improvement throughout the year?
Bob Lisy: Sure. There's two things. Maybe the two lead things I would talk about is we're still ramping up from a revenue perspective all the work we're doing on our digital business. So whereas it won't necessarily improve the margins a lot because we'll be investing in marketing to do that, it's going to drive revenue. We also think that we're going to be able to add a lot of our pipeline for wires as a service is very, very large right now, and we believe that we're going to be adding lots of those folks, which really don't do much to degrade or cost us money to promote. We're basically providing the technology and the licensing and various different ways with different companies we're providing for. And so I think those are going to drive that revenue from a digital side. On the retail side, we have – we're doing, I think, better as we go forward and executing on plans related to retail, more people at the retail level that will be driving more agent retailers in specific areas. Not in any way a haphazard just throwing retailers out there, but very targeted in the right ZIP codes in the right places where we know there is wires. And that's going to have an impact on that second half as those start to accumulate in the waterfall from that happens. The last piece is, is that we're lapping easier numbers in the second half of the year because the downfall in the Mexico business, particularly started to happen for us in the second half of last year in a more – in a stronger way than it was in the first half. And so we're lapping a little bit easier numbers. We'll have better plans for retail and the digital business will be catching on and getting more traction as the investment we put in it and some of the folks in the wires as a service start to come through.
Chris Zhang: Okay. And if you could also comment on margin, that would be awesome. Thank you.
Andras Bende: Yes. And Chris, the only thing I would add to Bob's comment is, and I think you know you followed us for a while, but we do have some seasonality in the business with 1Q just being a softer quarter overall.
Chris Zhang: Great. I appreciate the color and let's kind of get back in the queue. Thank you.
Bob Lisy: Sure.
Operator: Thank you. And our next question comes from Gus Gala of Monness, Crespi, Hardt & Company. Your line is open.
Gus Gala: Hi, good morning guys. Thank you for taking our questions. To start off, I wanted to focus on retention. I was hoping you could kind of walk us through the volume, maybe it's on a volume basis, maybe it's on net or a GP basis. Could you talk about what that's looked like historically in retail so far as you have visibility? And then in digital, the core Intermex offering, what you've seen in retention versus what came on with Amigo Paisano? And just help us think of the levers that you're pushing on to help with the – drive further retention in digital in particular? And I have a follow-up.
Bob Lisy: Okay. So let me – I'll address the retail a bit, and then I'll ask Marcelo Theodoro, who's our Chief Digital Officer, to talk a little bit about the digital side and retention. Even though we do have a personal relationship or a direct relationship with consumers at retail, we think about that more related to the agent network. The acquisition of customers happen through the retailers. So let me just take you through first, not to get off track, but that, well, how do we look at how we acquire a new customer or keep a customer. Our acquisition costs at retail are CapEx and OpEx are about $2,500 to start up a retailer. And that retailer on the average at the end of year 1, on the average, we will do about 200 wires, which means that we get a payback at retail from a new retailer in about 7 months or so. Those retailers will be – today, we look at 3 components at retail. We look at same-store, we look at new store and we look at churn. Today, the retail – today, the retail churn is – I'm sorry, the retail same-store performance is operating about the same as the retail market. So we think the retail market is about a minus 8% to a minus 10%. And our retail existing agents, we define them as an agent that's here 366 days or more, they have a year-over-year number, they're behaving at about a minus 9%, minus 10%, minus 8%, depending minus 7%, somewhere in those high single digits. The way for us to be able to countervail that, which, by the way, is performing the same as the market, which makes sense, your existing retailers perform about the same is to shorten that churn rate. Those are agents that did wires in last year and do none and then grow our new agent base. And that's why as we talk about driving the wires at retail, we talk about additional people in specific markets like California, Texas, Illinois, where we have a lower market penetration rate, where we know that we have ZIP codes that are unfilled. But where we know, for instance, in markets that we do really well, a metric that we would use is we have about 1,000 or 1,200 foreign borns of a targeted market per agent in markets in the Southeast where we're very dominant, sometimes a 40% market share in a market. In California and Texas, we might have five or six foreign borns on the average in big pieces of geography per each agent retailer. So what it tells us in some of those areas, we need 3x or 4x more retailers, and that will be a big part of growing the overall retail business. We would expect that the average retailer will perform like the average market in a year-over-year. We'll be able to do a little better and some with targeting sort of finding out what the issues are, if there's some shrinkage there related to competitive incursion. But on the average, they're probably going to perform. The issue will be acquiring new real estate in places where we aren't, where we're underdeveloped, and that's really the initiative at retail today. And I know it's not exactly what you asked, but we don't – we look at our consumers through the retailer on the retail side. We can tell you how often they use us and all of that, and we do contact them at times with different marketing promotions, but it's mainly driven through the connectivity of the retailer. Marcelo, do you want to talk a little bit about digital?
Marcelo Theodoro: On the digital side, the retention is slightly better than prior quarter despite the fact that we invested much more in marketing. So that's powering our growth as stated by Bob in the initial remarks.
Operator: Thank you.
Gus Gala: Sorry.
Bob Lisy: You said you had a follow-up. I'm sorry.
Gus Gala: Yes, I do. Sorry, I was – I got myself stuck on mute. The other one I wanted to ask, if you – could you maybe give us what the cadence was monthly in the quarter? If possible, if you could do it over the channel, that would be awesome. I know you're not going to give us April, but just kind of – is there any sense of have we maybe hit a trough in the retail foot traffic? Anything that shows that we had a trough or we're nearing stabilization? Anything around that would be super helpful. And thanks for all the color on the prior answer on retention. That's all very helpful. Thanks.
Bob Lisy: Yes. I think that it's a little bit of a funny quarter in the sense that February was a 28-day versus 29. So there is a little bit of a downturn, if you will. It's 1% naturally baked into this quarter, right? And then February was a bit of a downturn from January by what you might expect. The reason we don't usually talk about month-to-month is because they're not perfect comparisons. We look in 4-week segments because what happens is in January, you have 3, what we call stump days, the 29th, the 30th and the 31st. If last year, those days were Friday, Saturday and Sunday, and this year, those days are Saturday, Sunday, Monday, it's going to be a different number. And even worse if last year, they were ended on Monday and this year, it ends on Tuesday, which Monday still is a strong day and Tuesday is one of the weakest days of the year – of the week. So we really don't look at the business on a monthly basis. We look at it when we look at how we grew transactions and principal. We look at it in 4-week segments because that's a perfect comparison. And if we look at it by the month, it kind of – February is the perfect example. Last year, it's 29 versus 28. But even in January, the stump days would be different, which will throw that number out. So you can get a sense about, oh, we did better, oh wait, we did worse. But really, when you look at the 4 weeks, it's relatively stable. We think that a lot of whether the trough is there or not. I think there's 2 things that will react to how we perform at retail going forward. First is the macro environment. And I think once that settles into a new normal, I don't even think there has to be an easing of the current administration's approach to immigration. I mean, if you look, there's been prior administrations, if you play their speeches, President Obama said similar things to Trump – President Trump and said, if you're here illegally, you will be deported. So it's – those things will be gotten used to, if you will. I hate to say it that way, but the new normal will come in. There are a huge amount of immigrants here working, and there's no way – easy way to deport them all nor is there a way to replace the work they do, particularly in agriculture. So I think that there probably will be some easing over time. But if there isn't a new normal, we'll kind of set in. I think we have consumers today and talking to our retailers that don't necessarily want to go to retail. But they have to because many, many consumers either don't trust or are not equipped to do digital. It's not because of the technology, it's because of the banking. If you're undocumented, you may not have the banking relationship to be able to do a digital transaction. And we think that group could be 60%, 70% of the – when you hear the numbers by the administration, makes sense, could be 60%, 70% of the folks that are here. I think that's the first piece of it. The second piece is we're shifting our approach a bit at retail and whereas we are a value-added high-quality provider, we also recognize that at the increment, we will be different and more aggressive for incremental wires. So we'd much rather do 6 million wires a month versus 5 million. If that last million wires actually brought down our average margin, we're not going to touch the 5 million that we have in the basket, but we can be aggressive in states like California and Texas and make a lot more money, deliver a lot more EBITDA and create even better EBITDA margins we have by being aggressive in a rifle-shot approach. And that's the kind of stuff that I'm talking about that's underway as we speak that the waterfall has not yet been created that will impact that second half. And it will be – I don't want you to think that these high margins we have in places like Tennessee or other parts of the East, I just gave signals to all the little crop guys out there, they're not on the – but to go after our states. But in the Southeast, those margins aren't going to be touched because we don't need to because we're doing great. What we need to do is on the margin where we have opportunities, and we're going to be much more nimble at that. And we have a data scientist now that does nothing but work on the pricing. He works with our Chief Operating Officer from the retail side, Andrew Kugbei and working through all of that on a daily basis, and we think we're making huge headway with that.
Gus Gala: Great. I appreciate all the great color. I will jump back into the queue.
Operator: Thank you. And our next question comes from Mike Grondahl of Northland. Your line is open.
Mike Grondahl: Hi, Bob and Andras. Thanks. First question, have you thought at all about pulling back on your incremental investment in digital or I don't know, pushing it out a quarter or two? Or is it kind of full systems go there?
Bob Lisy: It's full systems go. It's – we know it's the right thing for the business. We think a balanced business portfolio that approaches looking like the market in terms of proportionality. It's a moving target. So when we get there, if we get there, but we're going to continue to move that digital business, and we think we're moving it and we'll move it very profitably with the current customer acquisition and the lifetime value of the customer that it will be a profitable business. And I think this is the time to do that. I think it's the right time and it's the right time for that investment for us. And again, we're not – we're not in a position nor is it the style of our company to go and overinvest and not manage that. We've been very good operators, very good custodians of every nickel in the company, and we'll continue to do that and monitor the response of that. But it is the right time. And I think our wires as a service for us is a positive sleeping giant, right? I think that there's just a lot of business out there that we can get with people that we can process for that may not be millions of wires per, but it could be 10,000 here and 20,000 there. These things add up the margins on them are not quite as good as our own business. But what's really great about them is there's the investment. It's just simply things we've already done, our technology, our licenses, our banking relationships, not all needed in every case. It's a cafeteria style. So the wires as a service client may not need all of those, but those are all available for them. And those are great – going to be a great boost, continue to be a great boost for our digital business overall, while we invest specifically into our growing our own brand, Intermex and our other brand now, Amigo Paisano. The thing that I think that we've never yet encountered and it's because of the strength of retail, when we see that principal amount be almost 4% growth in the company overall, but our retail principal amount is very flat. So it means this melting ice cube that people speak about is not there. It's not true. We see the retail as highly profitable. But if we started to see a sharper drop there, we can be much more aggressive in providing the digital opportunity for consumers that are leaving retail. And we do some of that today, but we don't believe we're in a catastrophic or anywhere near that situation where we want to risk the very high profitability retail and the agent relationships we have to be able to aggressively convert those customers. So we feel we've got a ton of options at our disposal. We're still one of the largest – we are the largest provider in the world to Guatemala, and we are still amongst those to Mexico, the two most profitable largest markets to Latin America, and we will continue to do that, but continue to do it very carefully so that we're growing that digital side without degrading our overall profitability and value of earnings per share for our shareholders.
Mike Grondahl: Got it. Bob, you've mentioned kind of a strong pipeline for wires as a service. Is much of that embedded in kind of baseline 2025 guidance? Does that represent upside? Or how should we think about that as it comes online?
Bob Lisy: Yes. I think we've been really conservative about how we've looked at that because we wanted to make sure that we had an engine related to – there's a lot of things with wires as a service that have to be at that front end, our legal side of the business, our accounting side and our technology. And we put aside now a team of people that work directly within the departments, but are also siloed with Marcelo that are making sure that we're able to push these things through more quickly and get the all of the necessary components of the wires as a service done faster. And so all of that is an upside because we're continuing to evolve it. And so we want to make sure that these things are all different. The contractual piece can be put through really quickly and the accounting piece, because sometimes we're going to have the revenue by regulation, sometimes they're going to have the revenue. We have to decide on all of those different factors, but – and then ultimately, the technology. Once we have a basic couple of components that you can pick as a wires as a service, and we're getting to that now, the technology piece will be really easy. It's kind of a plug and play. And we think that there's – we'll be soon in a place where we'll put more people on the street to actually be selling our wires as a service. And we think there's a lot of right in the marketplace and also adjacent customers for that. And we haven't counted that upside in our numbers today.
Mike Grondahl: Got it. And then one last one. The larger principal amounts happening a little bit less often, I'm assuming that was the primary reason for the slightly softer quarter and revised guidance. Is it – are you able to quantify that in 1Q, like that was a couple of million, $4 million or $5 million? Is that thinking generally correct?
Andras Bende: Yes. Mike, we commented on it in the script, but I think the answer is yes. I think if the same amount of principal was sent in more normalized amounts, you would have seen $2 million to $3 million more EBITDA in the quarter and probably $7 million to $10 million more in revenue when we went and did the calculation. So that was the real difficulty for us to navigate in the quarter. It's just that the volume was there. It was just coming in.
Mike Grondahl: Right. It came – the mix was different.
Andras Bende: Exactly.
Mike Grondahl: Okay.
Bob Lisy: Yes. I mean, just the unit economics for everyone on the phone that when someone sends $1,000 – $800, we still get a $10 fee. We make a lot more FX because we make the FX on the $800. But if they send $200, $400, we get two $10 fees plus the same FX. So the FX and the margin that we're getting per wire kind of looks good because the principal amounts up and there's more FX, but it reduced not necessarily two to one, but maybe five to four or maybe six to five or whatever. And we're not sure, as we said in the script, we don't know what's exactly caused this. Could be people want to be out in public less often, could be that people want to send any extra money they have out. But we do think that if we had sent. But it does – I think it's two things. One, it says where we would have been without that shift. But two, the vibrancy still of the retail market for those people that think this is falling off a cliff, there's no way we can have 91% of our business at retail and grow our principal at 4% in a market that was crashing. It's just not especially a market that where the border is sealed, right? It still shows the strength of the overall retail market and particularly our retail business. And again, I want to be careful. I know you didn't ask this, Mike. For those others listening out there, this does not mean that we're – I know people have a real problem with understanding how we can do two profitable things. They think you got to lose a load of money like some people to just be all digital. We just happen to think it'd be really great to return a lot of money to our shareholders on a quarterly basis while we build a great digital business and not go and hawk on our shareholders' backs to do that. And I know there's a lot of analysts out there that think the retail business is dead, well, they're wrong. It's not. That's why we're in it. I've been at this a long time, and we'll continue to build digital, but we'll build it from these proceeds and profits that we have from the strong retail market, which we excel at.
Mike Grondahl: Sounds good. Hey good luck this summer guys. Thank you.
Operator: Thank you. And our next question comes from Alex Markgraff of KBCM. Your line is open.
Alex Markgraff: Hi, everyone. Thanks for taking my question. Sort of along the lines of the principal amount and transaction dynamic. Andras, I know you mentioned some expectation that continues into the near future. I guess just maybe level set for us within the guide, what's assumed there? Any sort of worsening assumed in that guide around that dynamic?
Andras Bende: Yes. I think we expect the trend to continue in Q3 and Q4, where that year-over-year transactions down, volume up, let's speak more broadly. But I think we've modeled in that getting a bit better towards year-end because we do believe in time, there's going to be a reset to the new normal. But I think if you look year-over-year in the guide, we still do have that dynamic of transactions down and volume up year-over-year. So that's what we're anticipating.
Alex Markgraff: Okay. And then if I could just ask one on OpEx, and I would appreciate any comments just on the agility in the organization just from your current position, obviously, have exhibited quite a bit so far. Just sort of curious what sort of agility is left on the table as you think about the OpEx base and some investment priorities?
Andras Bende: Yes. No, in terms of the agility on OpEx, I think one of the things about the company is we're very much built around efficiency. So there's not a lot of fat that sits to cut. We zero base everything every year. So it's not like we have a big slate of 200 folks worth of costs we can take out. We're continually leveling up and leveling down the costs as needed. That's why from a salaries perspective, you're talking maybe 1% year-over-year. You will continue to see G&A grow and most of that G&A growth is really going to be the investment in digital. We continue to be as stingy as we need elsewhere. So I would expect you're going to see salaries and benefits staying relatively stable, maybe down some as we get some efficiencies. But from a G&A standpoint, that is going to go up because of the marketing and digital.
Alex Markgraff: Okay. That's super helpful. If I could just squeeze in one more on the digital revenue number for this quarter. I think sequentially, it was a little bit lower than the fourth quarter. Is that just seasonality? Or is there anything else to understand about that?
Marcelo Theodoro: No, it's mostly related to the volumes. The first quarter tends to be a little bit lower than the fourth quarter. But when we look at Q2, we see the trend growing again more than we did in Q1.
Bob Lisy: Yes. And just in the industry, October and December are amongst the biggest months of the year in fourth quarter, obviously. And in first quarter, the weakest month of the year is January and tied for the second with November is February. So you have – you're sequencing the one of the strongest quarters, if not the strongest quarter of the year with the weakest quarter of the year. So that's why we kind of always in our industry look at a year-over-year number and the year-over-year growth. And so that's why we focus on the 70% year-over-year growth, not the sequential.
Alex Markgraff: Okay, I appreciate all the answers. Thanks guys.
Operator: Thank you. And our next question comes from Andrew Harte of BTIG. Your line is open.
Andrew Harte: Hi, team. Thanks. I appreciate the question. Bob, I appreciate the commentary, right. I think you said you can't speculate right now why there's fewer transactions and higher principal per transaction going on. But I think something you did say is longer term, you do not think that it's a long-term shift in the consumer behavior. So I guess, can you just kind of share a little bit of why you have confidence that it will shift back to what it's historically been like? And have you seen any of that shift so far here in the second quarter?
Bob Lisy: Yes. I think first, I want to be clear, there's a lot of land between think and confidence, right? So we've said we think it will go back. We're not confident it will go back. We've never suggested that. We don't have that in our plans, in our projection. We're not assuming that. So I think the reason that we would think that is that historically, we haven't had sharp increases like this unless there is an FX reason for it. Like you might have an election in Mexico and the 24, and you'll see huge principal amounts go up because in people's minds, the peso is on sale and the money is worth more money on the other side of the border at 24 pesos per dollar than it is on the northern side of the border. But we haven't seen these kinds of phenomena. It is a little bit different times either from a perception perspective or a reality perspective with the border. And I think, however, we don't know, we suspect talking to our retailers. It's not an exact science. Our retailers are small business people, but they believe that foot traffic is down. There's less wires, and they feel like the reason is that consumers are concerned with being congregating at places where many of them might be and having a visit from ICE, right, immigration that might come there and check IDs and deport people, right? So whether that's – we don't know. It's unscientific. That's the best data we have right now. We're not seeing any shift yet in that. But again, it's sort of a perspective that we have in trying to identify what's happening.
Andrew Harte: That's really helpful color. Thank you. And then on the digital side of the business, I guess two questions here. The first part, with the 70% growth, I think, obviously, that was aided a bit by Amigo Paisano. So can you just share kind of what digital looks like…
Bob Lisy: No, let me be really clear for everybody listening. It was not aided in any way. Amigo Paisano was in our number before, and it's in our number now. So it was not – there's no – there's nothing in here that's nonorganic. This is organic growth between our wires as a service, Amigo Paisano and our own business. And it is a year-over-year growth, a real growth of 70% in the first quarter, and that has increased to 80% in April.
Andrew Harte: Okay. That's great clarification. And then the second part is the commentary on customer acquisition and digital is better than expected. So I guess, is that giving you confidence they want to actually lean into it even more as opposed to pull back on the other side of the plan?
Bob Lisy: You can just follow our plan, right, is what we're trying to do. So I'll let Marcelo comment more on that, but we're certainly not planning on pulling back, but we can evaluate if we're getting a really great return, then that's certainly something we can take a look at whether we would invest more. But Marcelo, do you want to...
Marcelo Theodoro: No, perfect, Bob. We are very confident with the results that we achieved in Q1. We keep investing very meaningfully, but thoughtfully about exactly what was in the plan. We also are seeing growth in value-added services that we are offering through our digital solutions. So now we are offering top-up. We are offering due payments. So while we are still reporting the gross margin per transaction related to remittance, there is an additional component that is more revenue coming from the same consumer with other products. Our vision for the industry that we didn't mention yet clearly during this call is to be a financial services provider. So every dollar that we invest in customer acquisition has the potential to become a higher return per consumer than we had in the past. So to confirm your question, yes, we are confident of what we did, and we are going to keep investing as planned.
Andrew Harte: Thank you. I appreciate the question.
Operator: Thank you. We have a follow-up from Gus Gala of Monness, Crespi, Hardt & Company. Your line is open.
Gus Gala: Hi, Bob. I just wanted to see if I could get you to riff a little bit on what you're seeing in terms of pricing rationality across retail and digital in the industry. Any interesting observations, how are people behaving? I think in the past, we've seen people try to take down price when they're struggling. Just talk about rationality in the industry. That would be helpful.
Bob Lisy: Yes. I think that there's –– I won't mention names, but there's one key independent provider that is private equity owned that we think has pulled back a bit because of just wanting to make money, hopefully, private equity firm sponsoring them. We see that in more cases where we think that pricing – we've taken – again, I've talked about that reporting to Andrew, we have a data scientist. And when we're looking at it, today, we're very competitive price-wise at retail. There's places we're better than the competition, places where we're worse, but we do believe we have a superior product. And we think pricing, we're in a really good spot. We talk about overall and the agents we're in. Now what I've been talking about, though, is to go out and acquire another 25% more wires, right? Those wires are in markets that are more competitive, and we may require in those places for us to be more aggressive in price. But from our perspective, if we picked up 1 million incremental wires and our average margins today are between $4 and $5. I won't be any more specific than that. And that 1 million wires came in at 3.75. We're delighted at that. That's going to drive the bottom line dramatically. It's about – that's almost – that's more than $40 million in gross margin annually, which we probably bring down $15 million to $20 million of that to the very bottom line. So we will use from our perspective, price as an attacking mechanism where we don't have wires, we're getting a margin of 3.75 on 1,000 wires is a wonderful thing because we had 0 wires. But what we don't see is a need for us to degrade the core pricing that we have, which in March from our all-in business was 4.7 million wires. And again, that's a mixture of La Nacional and our transfer and all everything together, but we don't see a need to be aggressive in price in that area because we think, if anything, pricing has probably been a slight bit of a pullback. There's still a couple of guys out there that are really aggressive in price. But you have to be really careful because what you hear, not that you hear it, but what we might hear from our – because the salespeople are always going to tell you the other guys much better FX. But when we have – really do the survey and we have independent people even in our company do that with a data scientist, we find that pricing is not nearly the issue that we might hear if we're dealing with directly data that comes from our agent retailers, for instance, that are always going to want us to add a few centavos makes their job easier, right? So that's where we – I would describe it today.
Gus Gala: Thank you for the helpful color guys. Good luck in summer.
Bob Lisy: Thank you. I appreciate it.
Operator: Thank you. I'm showing no further questions at this time. I'd like to turn it back to Bob Lisy for any closing remarks.
Bob Lisy: Thank you all for your time and attention and I know we'll be speaking to some of you here in the upcoming hours. We look forward to that. Have a great day. Thanks.
Operator: This concludes today's conference call. Thank you for participating, and you may now disconnect.